Operator: Good day, ladies and gentlemen, and welcome to the ABM Industries First Quarter Fiscal 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today’s conference Ms. Susie Choi, ma’am you may begin
Susie Choi: Thank you all for joining us this morning. With us today are Scott Salmirs, our President and Chief Executive Officer; and Anthony Scaglione, Executive Vice President and Chief Financial Officer. We issued our press release yesterday afternoon announcing our first quarter fiscal 2017 financial results. A copy of this results and an accompanying slide presentation can be found on our corporate website. Before we begin, I would like to remind you that our call and presentation today contains predictions, estimates and other forward-looking statements. Our use of the words estimate, expect and similar expressions are intended to identify these statements. These statements represent our current judgment of what the future holds. While we believe them to be reasonable, these statements are subject to risks and uncertainties that could cause our actual results to differ materially. These factors are described in a slide that accompanies our presentation. During the course of this call, certain non-GAAP financial information will be presented. A reconciliation of those numbers to GAAP financial measures is available at the end of the presentation and on the Company’s website under the Investor tab. I would now like to turn the call over to Scott.
Scott Salmirs: Thanks, Susie. Good morning everyone, and thank you for joining us today. By this point, I’m sure you’ve had a chance to review our first quarter results. We are off to a good start for fiscal 2017. We delivered total revenues of $1.3 billion, an increase of 4.6% versus last year. This was driven by strong organic revenue growth of 3.6% or 4.5% excluding the impact of foreign exchange. Our growth was propelled by a combination of expansions within our existing business and new business wins. Tag work also continues to be an area of focus throughout the organization and I'm really pleased with these results, especially given we are still in the very early stages of providing our teams with the tools and the processes they need to accelerate their businesses. For the quarter, our adjusted EBITDA margin was 3.6% versus 3.4% last year and that's not withstanding the negative impact of one more working day, which equates to an additional 30 basis points. Our adjusted EBITDA performance benefited from 2020 vision related initiatives which we implemented in fiscal 2016 covering our organizational redesign and our focus on procurement. These results lead to GAAP EPS from continuing operations of $0.28 for the first quarter and $0.38 on an adjusted basis. This performance demonstrates that our industry groups continue to execute at a high level under our new operating structure despite all of the changes we've experienced over the past year as we move through our transformation. And as a reminder, our results do not yet reflect our continuing work on the next phase of our transformation including the initiation and deployment of standard operating procedures across our business. Currently, we are taking a dual approach on these procedures; first, we are systematically performing pilots in several markets in the US to refine our protocols. And secondly, we’ve identified over 200 locations that are underperforming in certain areas and we are taking a laser approach to those opportunities in advance of refining our standard procedures, so our early work across both of these approaches has been extremely encouraging. With the first quarter behind us, we want to reaffirm that we remain on pace to achieve our full-year guidance which we provided to you just a few months ago. I'm delighted with the start of the year, not only due to our solid financial results, but also because we are now reporting with our new operating segments. This view shows how we now manage our business on a day-to-day basis and aligns with our narrative of being closer to our clients. Our new operating segments reflect the new ABM and a great deal of effort and hard-work made this alignment a reality. As I'm sure you all understand, the first year of changing the way we report externally comes with many complexities that will require some measure of patience. While enterprise level comparisons of year-over-year performance will be meaningful, year-over-year comparison by industry group will not be an effective proxy for performance trends because among other things we have new overhead allocation methodologies related to last year and the like. So apples to apples comparatives at that level will be difficult until we establish a baseline in 2017. That being said, I want to remind you that we’ve provided industry group operating margin guidance for fiscal 2017 last quarter. We reiterate those ranges today and ask you to review our business according to these guidelines for the first year of our new reporting structure. Now here are some additional details about our specific operating segment that can help guide your perspective. Business and Industry is by far our largest segment, it represents approximately $3 billion of annual revenue and we expect its growth profile to be consistent with our old onsite business as it's largely comprised of our legacy janitorial division. I'm pleased with B&I’s performance this quarter given the sheer size and given the additional work they had with which predominantly impacts this segment. We saw some good expansion with some of our marquee clients during the quarter and moving forward we are excited about the opportunities for B&I as it could potentially be the biggest benefactor of standard operating practices due to their scale. Our leadership has done a phenomenal job of bringing the pieces of the transformation together and beginning to change the focus from the service line of view to a client view. Next, Aviation, this segment in many ways was our very first industry group, as its foundation is the answer which was historically aligned by client in that service line. Coming into this year, Aviation was a roughly $850 million business as it's a combination of our Air Serv business known as the Other segment from previous years and also our legacy Onsite Airport business. During the first quarter, they experienced robust topline growth winning new business and expanding contacts in markets such as LA, New York, Atlanta, Houston and the UK. Before I leave aviation, I'm excited to share that we’ve officially entered into the aircraft catering logistics business in the northeast. We look forward to monitoring the progress of this new business expansion with the long-term objective of creating a port new service capability across the platform. There could be great potential for the firm here. Our emerging industry segment is an $800 million revenue business comprised of a roughly equally weighted education, high-tech biopharma and healthcare business. We associate these businesses with more aggressive topline potential, possibly growing at double the rate of our historic enterprise growth rate. Having said that due to the smaller size of these three subsegments, any large customer wins or losses will have a more dramatic impact on percentage results. For example, this quarter's performance reflects education’s loss of our work with the New York City Department of Education, as the DOE has taken their facility services in-house. This is a $20 million revenue account within our $250 million education segment. So the percentage here that change is magnified. In another example, any changes to the Affordable Care Act may have an impact on our healthcare division. So for these reasons, it won't be surprising if our results are a little choppy over the next couple of years. However, over time we expect really good upward trends in emerging industries. We believe we have a compelling value proposition in these areas. Technical Solutions, formally our ABES business and previously part of the BESG Group is now its own distinct segment and represents approximately $430 million in revenue coming into this year. During the quarter, they experienced growth both organically and as a result of Westway and our recent MSI acquisition in Dallas. We continue to expect organic revenue growth in the high-single digit to low-double digit range. Backlog remains high and we're pleased with the level of new bookings we are seeing, continuing a trend and a strong pipeline that began in fiscal year ‘16. Although it will take time, we expect cross-selling to be a big opportunity for technical solutions given the newer industry group alignment. Before I turn the call over to Anthony, I want to provide a few more additional updates. As you will remember, we initiated a process to sell our government business during the fourth quarter of last year. Government continues to be classified as held for sale. We have made good progress on the sale process and we expect to provide an update on the next quarterly call. As you can see from our results, the performance for this segment reflects the benefit of certain expense measures and the accounting treatment from the result of our intention to sell this business. I also want to address our announcement in early February regarding the potential resolution of our Augustus and Karapetyan litigations, which related to our divested security business. As outlined in the press release and the associated 8-K at that time, we have tentatively reached the settlement agreement for $115 million which is still subject to court approval. Anthony will dive into more detail, but we do not foresee any material impact related to the settlement. We remain committed to our 2020 vision and in transforming ABM. We now have the foundation upon which our business can operate and thrive as they focus on their own respective industries. Currently, we are working hard to equip our teams with the tools and technology they need to implement our standard operating practices. In fact, we recently signed an agreement with Salesforce to develop software and applications to accelerate how we manage our business, interact with our clients and lead to better business outcomes, this will be compelling. Additionally, we will be investing in an enterprise HRIS system and other technologies to improve our overall labor management capabilities. Combining these technology solutions with standard operating practices and our drive to grow our leaders through dedicated leadership programs will be the defining characteristics of the new ABM. So as you can tell, we continue to have a lot going on. We're still in the early innings of our 2020 vision transformation but we're enthusiastic about what 2017 will bring. We look forward to sharing our progress throughout the year and at our Investor Day, which we've decided to move towards the end of the year so we can provide as much information as possible on the results from the current phase of our transformation and insights into the future. All of this would not be possible without the tremendous work of our employees and the great client base we have and certainly the support of our shareholders. I'd also like to thank Maryellen Herringer our retiring chairperson and Luke Helms for their guidance as esteem Board Members. We appreciate their service over the years. Now I will turn the call over to Anthony for a comprehensive review of our financial results.
Anthony Scaglione: Thank you Scott, and good morning everyone. I too would like to thank our team for their commitment and diligence as we start 2017. Our current results indicate continuation of our employees’ ability to navigate and progress through the varying stages of our 2020 vision while delivering operationally. Last year, we completed our 2020 vision organizational restructuring, but this year truly marks the beginning of our operations as a new ABM. We continue to learn, evolve and adapt as an organization each quarter, not only from an operational perspective, but also from a financial one. The institution of standard operating procedures, centralized procurement effort, and overall market migration requires a new way of looking at our business. I am very pleased by the initial work done by our finance team as we continue to support the business and drive the next phase of our transformation. I will now review our first quarter results from continuing operations which are described in today's earnings presentation. Total revenues for the quarter were $1.3 billion, up 4.6% versus last year driven by organic growth of 3.6%. Excluding the impact of FX, our organic growth would have been 4.5%, a key indicator for the consistent execution in our business. This performance was primarily driven by Aviation and our Business and Industry segment. In addition, acquisitions provided approximately $12 million of incremental revenues in the quarter, which are primarily reflected in our Technical Solutions segment. On a GAAP basis, our income from continuing operations was $16.1 or $0.28 per diluted share versus $13.6 million or $0.24 per diluted share last year. Last year also included the retroactive reinstatement of the calendar 2015 work opportunity tax credit of $5 million or approximately $0.09 per share. The year-over-year increase in EPS was primarily due to higher revenue contribution, the impact of 2020 vision saving initiatives that began in fiscal 2016 and lower items impacting comparability, primarily related to the reimbursement of previously expensed fees associated with a concluded FTPA investigation. These factors offset the impact of one additional working day during this quarter. On an adjusted basis, income from continuing operations for the quarter was $21.5 million or $0.38 per diluted share. During the quarter, we delivered adjusted EBITDA of $48.1 million and our adjusted EBITDA margin of 3.6% compared to 3.4% last year. Before speaking to the segment results described on Slide 6 of today's presentation, I'd like to take a moment and build upon Scott earlier discussion regarding our new operating segment. As he alluded to 2017 as a major turning point in our reporting structure given the alignment of our internal view of the business with our external view. Financially, the task to remapping our current year and prior year business allocation has been tremendous, while revenue is more easily reconcilable from a year-over-year perspective, operating profit is a bit more complex. Overhead expenses included but not limited to non-operational management and supplies are not easily comparable on a year-over-year basis. As we transition to the new segment view we needed to go through and exercise of recasting prior year’s overhead costs to the new reporting segment. The methodology used was based on the proportion of the previous janitorial facility services and parking service line revenue that moved to each new segment. For example, 40% of the previously reported parking service line revenue that is aviation related was transferred to our aviation segment. As a result 40% of the then existing overhead parking costs were allocated to our aviation industry group. Since the realignment we have streamlined our processes and gained efficiencies as well. And today we don't require the same infrastructure or overhead to run aviation parking, allowing us to operate our parking services within our aviation group at a lower relative overhead cost. It is also important to note that it is difficult to quantify these aviation parking specific efficiencies under the prior year recast as overhead is an estimate based on the reallocation methodology just discussed. Accordingly, the recast of prior year overhead is not indicative of how we currently operate our parking services within our aviation industry group. Thus the year-over-year result of our remapping versus how we currently operate the business will create comparison challenges throughout the year. This example holds true for almost every industry group from a year-over-year comparison. In order to provide you all with a way to ascertain our performance throughout this transitional year, during our Q4 earnings call last year and in today's presentation we provided the 2017 outlook for operating margin by segment. These outlooks will help drive the conversation on a go forward basis. I will now discuss the new operating segment performance and also provide some additional details for each in order to help guide your perspective. Please keep in mind these operating results reflect savings related to our 2020 vision initiatives, partially offset by one extra working day during the quarter, which predominantly impacted the Business and Industry or B&I segment. For B&I, revenues increased 1.5% to $755 million versus last year, primarily driven by organic growth stemming from expansion of jobs with existing client. Revenues within B&I are roughly comprised of 75% historical janitorial, 15% facility services and 10% parking. Operating profit for the quarter was $32.4 million leading to operating margins of 4.3% and we continue to expect B&I to produce low-to-mid 5% operating margin for the full fiscal year. Aviation saw robust revenue growth of 13.8% at $232 million as a result of higher wheelchair and cabin cleaning revenues, new business for parking services at several metropolitan airports within the US and increased tag work. Revenues within the aviation segment is comprised of approaching 50% of our legacy Air Serv business historically referred to as Other, 30% parking, 10% janitorial and 10% facility services. Operating profit of $5.4 million led to a margin rate of 2.3% and we continue to expect an annual rate within the range of mid-to-high 4%. Emerging industries comprised of healthcare, education and high-tech which are roughly equally weighted, reported revenues of $201 million essentially flat due to the loss of our DOE [ph] work within education. Given the size of each of these businesses and the relatively more concentrated customer base, revenue in this industry group could experience volatility over the short term, but with our 2020 realignment and new management employees, our focus to grow this business more aggressively over the long term. Revenues within emerging industries are roughly comprised of 65% janitorial, 15% building and energy solutions, 10% facility services and 10% parking. Operating profit for the quarter was $12.4 million or 6.2% on a margin basis. We continue to expect the full year to be in the mid to high 6% range. Technical Solutions comprised of our legacy ABES business was approximately $107.7 million for the first quarter demonstrating a 15.3% growth versus last year. This growth is primarily attributable to acquisitions and higher project revenues associated with a strong backlog, continuing their performance over the last few quarters. In addition, while relatively small in scale, we are now the largest EV charging station in solar in the country and we are pleased with our growth since launching this service capability only a few short years ago. We are excited about the future prospects for this industry and the potential expansion within our existing client base. Finally, turning to government, which is a reportable segment as we continue to pursue the scale of this business. The results of operational improvements implemented in the back half of last year are benefiting this quarter’s results. The segment is also benefiting from the absence of depreciation and amortization due to the asset classification as held for sale. Turning to liquidity, we ended the quarter with total debt including standby letters of credit roughly $444 million and our total debt to pro forma adjusted EBITDA with approximately 2.5 times. During the quarter, we repurchased approximately 200,000 shares of common stock for roughly 7.9 million and as of January 31, 2017, we had approximately $134 million of availability remaining under our previously announced 200 million share repurchase program. And as announced in today's earnings release, the board has approved ABM’s 204th consecutive dividend of $0.17 per share payable on May 1, 2017 to shareholders of record on April 6, 2017. Turning to our recent Augustus announcement, we have reached a tentative settlement and have amended our credit facilities to accommodate the payments upon its approval by the court. The timing of the payments will have a potential impact on our share repurchase execution in the short term. As a result, the cash outflow and the related interest expense and timing of share buyback due to the settlement could have a $0.01 to $0.03 impact to our current fiscal year. Irrespective of the Augusta settlement, we reiterate our fiscal 2017 GAAP income from continuing operations guidance of $1.40 to $1.50 a share and $1.80 to $1.90 on an adjusted basis. Operator, we are now ready for questions.
Operator: [Operator Instructions] Our first question comes from the line of Michael Gallo with CLK. Your line is open.
Michael Gallo: Hi, good morning. My question is just, I mean, the organic growth, I mean I followed the company a long time. I'm trying to remember the last time we saw 4.5% true organic growth number. I was wondering as we think about on a go forward basis, I know aviation had a very strong order, but on the other hand, it seems like you still have enormous opportunity to accelerate emerging. How much of this is just some of the cross sell and some of the initiatives are coming together versus how much of this is you maybe had some large wins in aviation? And what kind of organic growth rate should we assume going forward given that we've had I think a little lower organic growth as you focused on the margin. I thought it was nice to see the combination of both the organic growth and the margin expansion come together. Thanks.
Scott Salmirs: Yes. So obviously, we don't give guidance on revenue. But that being said, really strong growth as you pointed out in aviation and that was not only new wins, but expansions with existing clients and I think it was the same thing in B&I as well where we were bringing in a nice amount of new business, but really focused on expanding or contracts on our scope with our existing clients and that's part of the whole thesis around this reorganization of the company by focusing on the client rather than just the service line. So I'm not going to tell you that the cross selling has really taken hold yet because as you know we just sped up these industry group formats over the last few months, but I think there is a tremendous focus internally on tag work and expanding with existing clients, just even within our own service lines. So and I just don't - I don't see any headwinds as to why we wouldn't continue to perform really similar to last year, and again we're off to a little better start this year. So we're really encouraged.
Operator: Thank you. And our next question comes from the line of Justin Hauke with Robert W. Baird. Your line is open.
Justin Hauke: Yes, hi. Good morning. Thanks, guys. I've got two questions here. Maybe the first one is just for kind of keeping us up to date on the progress on the vision 2020 cost savings, I mean obviously the revenue was really strong, the margins were equally as strong and to not see the guidance raised, I guess I'm just trying to understand the cost savings that you realized in the quarter versus the $8 million to $10 million target you targeted for the first half of the year, is that on pace or where are you, are you running above that? Is that still a good benchmark to think about?
Anthony Scaglione: Yeah. No problem. Justin, so from an organizational standpoint, we completed the 2020 organizational realignment last year. So we're now benefiting from the full run rate of the organization and as we look at each quarter going forward, obviously, it's going to be less and less that impact because we've took some of the actions middle of last year. So Q1 is benefiting from year-over-year quite significantly and that will tail off as we progress through the year. So we're still aligned. There might be some timing issues in terms of where we're capturing those savings on a year-over-year basis, but we are aligned with the guidance range as we laid out at the end of the year, which was effectively 8 to 10 in the first half and 10 to 12 in the second half. The second half is really going to be critical as we ramp up our procurement efforts and some of the standard operating procedures that Scott spoke to in his prepared remarks. Those are really back half loaded. So that's something that we're keenly focused on implementing early on, so we can capture those savings in the second half.
Scott Salmirs: Yeah. And I would just want to reiterate, it's early on, right. We just closed out the first quarter. Everything is on plan and on our expectation and the one thing I think you see that this management team is committed to is not getting ahead of ourselves, right. We don't want to over promise and under deliver. So we feel really good about where we are right now and again pleased with how we're starting, but we're not ready to raise guidance just yet.
Justin Hauke: That's helpful. I appreciate the commentary there. The second question I guess just following up on Augustus settlement and the payment terms, I guess two things. One, is there any tax deductibility of that settlement and I guess really what I'm trying to ask is what is the net cash impact to you that you're expecting to pay out. And then a little bit on maybe when you plan to make that payment and how it might be structured?
Anthony Scaglione: Sure. So the finalization of the actual settlement hasn't yet been approved by the court, but we expect the cash flow impact to occur in late Q2 and Q4 and then the tax deductibility will lag a little bit because ultimately it’s how we're going to submit to our tax and the actual payment with a little bit of a lag. So the net cash flow is roughly 70 million on an after tax basis but again, there's going to be timing differences associated when we actually settle it with plaintiffs and the class and then when we recognize the benefit from a tax perspective. So a little hard to quantify per quarter what the net is going to be, but effectively over the long term, it’s a $70 million outflow.
Operator: Thank you. And our next question comes from the line of Saliq Khan with Imperial Capital. Your line is open.
Saliq Khan: Hi. Good morning, guys. Scott, two quick questions for you. First one is, within the B&I, are you continuing to see cash flow conversions from the managed to leased and then if so, what is the adverse impact if any to the margin line as well?
Scott Salmirs: So within B&I and that’s and I believe you’re referring to parking. So within B&I parking, that is typically more of our lot based business, it will have more proportional lease versus managed to the aviation parking that’s more of a managed or a fixed cost type contract. So B&I will have more volatility as it relates to the parking segment or service line within the overall B&I portfolio as it relates to the parking. So we haven't seen a dramatic shift between one to the other. I think it’s consistent with where we've operated lease versus parking in fiscal ‘16 and we expect that proportion to continue going forward.
Saliq Khan: Got it. The other one that I was thinking about is, with the janitorial, if you look historically you've been able to win a good amount of contracts of education, commercial and industrial as well. As you look out over the next 18 to 24 months, earlier you mentioned that the quarters could be choppy over the next several years, however, one of the two or three areas where sales people are dramatically focused on increasing the potential for getting larger and the velocity of which they're winning more contracts.
Scott Salmirs: Yes. So and we don’t look at service line anymore. So we don't look at janitorial specifically. We're looking at how we're going to sell within the industry and I think that's going to be the key because each of our industry groups have put together their targets and they're just more focused than they've ever been. So like in the education market rather than looking at office the states, we may be focusing on just a handful of states, 10 to 12 states where we know we have some density already. We have a tremendous resume and it's again - it's more of a strategic look. So I think when you think about emerging industries, we talked about the fact that it could grow at possibly double the rate of some of the other industry groups and I think that's because we have the unique expertise, you think about high tech, we're in just about every firm in Silicon Valley, in Austin, in all of the hot spots. So we think with that density and with the focus now in those particular areas, we'll see oversized growth as compared to historic.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Marc Riddick with Sidoti and Company. Your line is open.
Marc Riddick: Good morning. Wanted to follow up on the tag revenue and wondering if you could share a little greater detail on the benefit in the first quarter and maybe some parameters as far as maybe year-over-year growth. I do understand that you're just now getting those procedures in place to accelerate that growth, but I was wondering the extent and magnitude of the contribution that we saw in the first quarter?
Scott Salmirs: Sure. So tags were in line with our expectations on a relatively difficult comp year-over-year and as you can imagine, Q1 of our fiscal year as it relates to tags can be highly influenced by weather specifically snow removal and the markets that get impacted. So from a year-over-year perspective, we had a pretty mild winter compared to last year. So we were in line with our expectations, slightly up year-over-year. So we were able to overcome that difficult comp with again laser focus on tags that continues that the trend and the momentum that we saw at the latter half of last year in terms of our operators really focusing on tags, really penetrating that. So we're very pleased with the year-over-year and we continue to think that that's going to be a focus area for us going forward.
Anthony Scaglione: And I think especially how focused we are on margins and tags, they perform at a much higher margin rate. So when you think about a project manager on slide and what they're thinking about day to day, outside of making sure the customers have to be managing a label well. They’re thinking about how do we sell tag work because we know it's more profitable. So it continues to be a major focus for the firm.
Marc Riddick: Okay. Great. And then as a quick follow up, I wanted to get a sense of maybe if you can provide an update as to sort of where you think additional personnel may be required or if we should be expecting greater technology spending or personnel hiring to specifically focus on enhanced revenue opportunities going forward and or sort of how folks should be thinking about that? Thank you.
Anthony Scaglione: Yeah. So from an organizational standpoint, we continue to benefit from some overhead opportunities within both on a corporate level and that would be primarily HR and IT related and as Scott alluded to, we’re just kicking off a project with Salesforce. So our excitement around what that can do for the business to operationalize a lot of the standard operating procedures and customer facing that’s a lot of emphasis within the company. In addition, we do also have a big emphasis on building out our sales team specifically within the technical solutions business, but also looking at, as these industry groups have their strategic priorities and go to market strategies, various pockets of additional sales people to help support that growth. We're still looking at opportunity to fill those roles.
Operator: Thank you. And our last question comes from the line of Adrian Paz with Piper Jaffray. Your line is open.
Adrian Paz: Hi. I'm calling on behalf of George Tong. Just had a couple of question. I just wondered if you can provide a little more color on the sales transition to the vertical structure and how far along they are in that transition and how - what your view is on how they’re ramping?
Scott Salmirs: Sure. I can take that. So again, it's early on, right. So it's just been a few months in this format, which we would say is solution selling, right, because prior to this, we were selling by service line, right and now we're going into clients and saying we could do more services, we could do more things, we're thinking about you as a client and that doesn't happen overnight and that doesn't happen just because you put yourself in a new structure. You really have to be prescriptive about that. And one of the things we've done to help on that is we formed what we're calling our center of excellence and within that center of excellence, we have a whole sales initiative which really for our sales teams in our industry groups, it gives them a format on structure on how to sell. We're using sales force as our sales platform and monitoring how we're looking at our pipeline, how we're looking at our P responses. So it takes a while. It's a longer journey culturally to start thinking about clients not by service, but by solution. But I'm really excited about the progress we've made and some of the things that are being rolled out across the industry groups in terms of how we're going to get traction of again getting that extra value with our clients because they think we are thinking about them holistically rather than just being a service provider. So if - it's a protracted basis, but we are we're on track for what our expectations were entirely.
Adrian Paz: Great. Thanks. Also wanted to touch on the macro environment and just see what you guys are seeing there. I know that other companies that have been reporting a bit of a softer macro environment and claims are optimistic but they're not seen that translate into actual business activity.
Scott Salmirs: Yeah. So we haven’t seen a real impact in a negative way in the macro environment, I think again we look industry group by industry and one of the areas of our health care group right now is with everything that's going on with the Affordable Care Act, it makes our health care clients take a little bit of a pause because whenever you have something kind of foundational happened within an industry before people make bigger decisions, they want to see how it's going to affect them. So picture a hospital system thinking about how they're going to move forward with their service levels, their facilities, you may want to pause a little bit right now, right and see how this is all going to flush out over the next few months. So, it hasn't heard us yet, but again it's - for US industry by industry in terms of the big macro environment we’ve not seen any effects yet.
Operator: Thank you. I would now like to turn the call back to management for closing remarks.
Scott Salmirs: Well, thanks, everyone. Thanks for participating and asking those questions. We’re excited that you’re interested and engaged in what we're doing and just want to remind you we've shaped our up vision of the future which is to be the clear choice in the industries that we're serving through our people who engage people and that's the vision of the ABM. And we know clearly how we're going to get there. We're going to get there by making a difference every day, every person and it's an exciting time at ABM and we're just all energized on performing, we're thrilled that we’re off to a good start for this year and everyone is rallying around making this our best year ever. So, thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone, have a wonderful day.